Unidentified Company Representative: Welcome, ladies and gentlemen, to our Q2 2025 Analyst Presentation. As we received very positive feedback in the last quarter, we stick to our new publication format. So I'm happy to guide you through our presentation this Tuesday morning already. And later today at 2:00 p.m. German time, we will have our conference call as usual, to answer all your questions. On my first slide for today, I would like to start with the traffic performance at our group airports in the first half of 2025. The blue bars display the January to June period compared to 2019, and the white bars shows the comparison to the previous year. Looking at the airports one by one and starting with Frankfurt on the left, we see that after a slightly negative start in Q1, the second quarter was catching up with a plus of 3.1%. In total, this led to a passenger increase in Frankfurt of 1.4% in the first half of 2025. Looking ahead, we are confident to see further growth over the summer season with additional capacities on short-haul routes, especially from the new Condor feeder network in Frankfurt. Also for the upcoming winter season, we continue to be optimistic based on the further ramp-up of continental frequencies. Therefore, we stick to our guidance of passenger growth in Frankfurt in 2025, but to remain below 64 million passengers. Looking at the development of our international portfolio, you see that Lima continues to perform strongly in Q2 after a strong start to the year already. Capacity additions in combination with the new terminal opening supported this development, which led to an increase of 7.1% over the first 6 months of the year. Following the record year 2024, Fraport Greece continues to grow in '25 and showed a passenger increase of 1.9%. This increase was primarily driven by a strong Easter holiday season with April passenger numbers being up 5%. Antalya, on the other side, was able to compensate a passenger loss of minus 7% in the first quarter and is now on the previous year's level. Here, the peak summer season is still ahead of us. When looking at the strong development in Brazil of plus 24%, this mainly reflects the strong recovery in Porto Alegre of plus 42%. Here, as you are aware, the airport was closed from May to October last year due to a heavy flooding. Besides that, Fortaleza also grew strongly by 7.5%. Ljubljana and the Fraport Twin Star airports in Bulgaria also showed a solid performance in the first 6 months with a plus of around 6% and 14%, respectively. Looking at the recovery rates in comparison to the pre-COVID levels, the picture is largely unchanged. Greece, Lima and Antalya are leading with a recovery to up to 119%, while Frankfurt and the remaining international airports are still lagging behind. All in all, the first half of the year was running well and in line with expectations with passenger growth of 3.8% for the group as a whole and a plus of even 5.4%, excluding for Frankfurt. Switching gears from the traffic development to our update on our major expansion programs and starting with the construction of the new terminal in Lima on Slide #4. I'm very happy to say that all major construction works have been completed and that the new terminal has been officially opened on June 1. All in all, the transitioning of the airlines from the old terminal to the new terminal worked well, and we received positive feedback from the clear majority of our customers. Regarding the financial development and expectations ahead, we have, in the meantime, set a date for our deep dive on Lima, as you can see on the slide. But let me already today share some first insights for the months of operations. We see very positive progress on the retail side, thanks to the new terminal infrastructure and the new shops. The retail revenues increased by around 25% on a per passenger basis as the passengers very well take up the new offering. This is a fantastic result, and we are proud to see such positive effects right from the start of operations. On the other side, with the inauguration of the new terminal, our D&A as well as interest expenses increased and impacted the financial results. As previously expected, we will now see higher D&A of up to EUR 30 million from Lima this year and additional interest expenses in more or less the same amount. For the upcoming year, so 2026, we will then reflect the higher D&A and interest cost from Lima also in the first 5 months of the year. So higher D&A of about EUR 50 million on an annual basis as well as higher interest cost. On Slide #5, I would like to continue with the current status of our biggest construction site, the construction of Terminal 3 in Frankfurt. Day by day, we are coming closer to the finishing line. The latest big milestone we achieved was the approval of Pier J and is 2 weeks ahead of schedule. This was a really positive sign also regarding the entire project time line. Pier J has a length of 600 meters and 14 aircraft parking positions on 3 levels, which can serve up to 6 million non-Schengen passengers. So it's a small airport on its own. After the commissioning of Terminal 3, airlines like Emirates, British Airways and Japan Airlines will operate the Pier. The remaining big steps to come from a construction point of view are the regulatory approval of the People Mover, which we expect this month and the approval of the Main Hall, which will follow next quarter. Here, with some tailwind, we can already announce the completion of the major construction with our Q3 results. Simultaneously, the operational tests, the so-called ARA process are now starting to make sure that everything will run smoothly from day 1. And finally, on Slide #6, I would like to conclude the construction section with the terminal expansion at Antalya Airport. As published with our Q1 results, the new infrastructure has been inaugurated on the 12th of April this year. After almost a quarter operationally, we can draw a first positive conclusion. The passenger processes are running smoothly, and we see a good commercial performance from the new shop offers. On the financial side, Antalya Airport is, however, confronted with headwinds this year. Comparable to the development of our Q1 results, the net result in Q2 continued to suffer from an exchange rate-driven deferred tax effect. Due to the depreciation of the Turkish lira, we had to revaluate our tax credit. This is why we recorded losses in our result from associated companies, a special noncash item purely based on currency effects. The total effect from the FX losses amounted here to around EUR 96 million in H1 2025 on a 100% basis or about EUR 46 million negative effect for our Fraport share. Out of this amount, around EUR 59 million or EUR 29 million, our share affected the second quarter result. Moreover, we incurred a so-called day 1 loss on the hedging of our project finance in the second quarter. The total effect here was about EUR 21 million, so around EUR 10 million for our share. To conclude the financial performance of Antalya, the dispute with the former duty-free operator, which we already mentioned with our Q1 results continued in the second quarter and impacted the financial performance of the operating result in an amount of about EUR 3 million for our share. All the before mentioned effects added up to a negative impact of around EUR 63 million on our group financial result in H1. Looking forward, the dispute with the duty-free operator has now been settled. Therefore, starting with Q3, we expect no further negative one-offs and are confident to realize further retail potential at Antalya Airport. Coming now to our first financial slide and starting with a very positive spotlight on our free cash flow development in Q2. As you can see on the slide, in the last quarter, we reported a positive free cash flow of EUR 29 million. This was the first time since 2018 that the second quarter of the year showed positive free cash flow numbers. We achieved this result with a double effect. Firstly, our operational cash flow showed a very strong development, growing by 58% or nearly EUR 120 million. Secondly, we brought down brick-and-mortar CapEx, which peaked last year to a multiyear low of EUR 265 million. Those 2 effects made the turnaround possible. Also, we still invested in total more than EUR 160 million into the construction of Frankfurt Terminal 3 and the new terminal in Lima. This shows you the future potential we have in an off-peak quarter once all construction programs are completed. Looking now ahead in H2, we expect a clearly positive free cash flow generation based on a strong third quarter operationally and financially. This is why we remain positive with our full year target to end the year close to the breakeven point with the free cash flow. Looking at the other main results of the past quarter on Slide #8. While revenues of EUR 1.1 billion were down by around 2%, revenues excluding for IFRIC 12 effects, were up by 8% over Q2 2024. Reasons for the positive revenue development were the before mentioned traffic growth as well as increases in airport charges and other prices. Also, the EBITDA went up nicely by around 8% to EUR 384 million. The increase incurred despite higher staff costs and a positive compensation effect for the flooding of Porto Alegre Airport in the last year. While D&A was about flat, EBIT grew by almost EUR 29 million or 13%. Main driver within the financial result was a more negative result from Antalya Airport, as I already mentioned on Slide #6. Therefore, the financial result stood at minus EUR 80 million, about EUR 48 million below Q2 2024. Correspondingly, our group result was down by 16% to EUR 125 million. On my next slide, I would like to provide you with a known background information on the moving parts regarding our free cash flow generation as well as our net debt in Q2 2025. Here, I would now like to focus more on the major CapEx programs in detail. While Lima CapEx was coming down from EUR 112 million in Q2 2024 to only EUR 35 million this year, also T3 capEx was reduced by some EUR 30 million compared to the previous year. Those effects supported the reduction of brick-and-mortar CapEx. Dividends in the amount of EUR 28 million, mainly from Antalya, additionally supported the free cash flow generation. At a positive free cash flow of EUR 29 million, net financial debt decreased even steeper by some EUR 100 million to EUR 8.5 billion. The reason for the steeper reduction is due to currency effects on our project finance in U.S. dollar, respectively, in Brazilian real in Peru and Brazil, which are reflected in the bar called other on the right-hand side of the chart. Our leverage ratio, therefore, stands now at 6.6, coming down from 6.8 in Q1, and our gearing ratio improved slightly to 177%. Let me now move on from our indebtedness to our repayment profile on Slide #10. Looking at the blue bar, you can see that we have reduced our liquidity position somewhat and are now just short of EUR 3.5 billion or close to EUR 4.1 billion when accounting for residual unused project finance and committed credit lines. Gross debt on the other side, decreased by some EUR 170 million to around EUR 12 billion at the end of Q2 despite regular refinancing activities and drawdowns from the project financing. Our average cost of debt remained flattish at around 3.3%, just slightly up by 0.1 percentage point compared to Q2 last year. Coming to our segment reporting, starting with the Q2 numbers in Aviation on Slide #11. The positive financial development in the last quarter was driven by 2 effects: price increases on the one side and traffic growth on the other side. Therefore, revenues went up 9%, while aviation charges even increased by 10%. In total and absolute numbers, revenues increased by some EUR 30 million. Due to higher staff costs as well as nonstaff costs for service providers, we translated about 36% of the additional revenues into EBITDA, leading to a slight increase in the segment margin. Adjustments in useful lifetimes of assets led to a decrease in D&A, which resulted in an EBIT increase of EUR 15 million or 22%. Moving on to our Retail and Real Estate segment on Slide #12. Quarterly revenues increased by about 5% to EUR 140 million. Around half of the increase was derived from our retail business, which grew by some 6% or EUR 3 million. As passenger numbers only grew by around 3%, this implies an increase in our spend per passenger of more than 2%. In absolute terms, the spend per pax increased from EUR 3.10 to EUR 3.17, so by 7% per passenger. This development was primarily driven by higher advertising revenues and a good F&B performance in the quarter. We are happy about this positive development, especially because the traffic growth comes from continental routes, which usually show a spending behavior below the average. Other important revenue streams, namely real estate and parking grew in line with our expectations, driven by indexation of rental contracts, price adjustments and volume effects. The segment's EBITDA and EBIT performed nicely above Q2 2024 despite higher cost for wages and maintenance compared to last year. Moving on to our Ground Handling segment on Slide #14. Let me start with a very positive message first. We are happy to see a positive ground handling EBITDA again in the second quarter of EUR 13 million. Reason for the positive EBITDA development was a strong surge in revenues driven by 3 effects: Firstly, growing traffic volumes. Secondly, higher prices; and thirdly, a growing market share as our new competitor, Swissport still has no sufficient staff to handle the contract volumes from our former competitor. Segment OpEx on the other side, saw a few moving parts. Staff costs increased by EUR 32 million, among others, due to higher staff numbers and wage increases. Let me point out here that staff numbers sequentially, so between Q1 and Q2 of this year, indeed have not increased, and we are right now plateauing with our head count at the current traffic level. Still, when compared to the previous year, we are seeing an increase in staff numbers. In addition to beforementioned development, supplementary pension costs led to an extra one-off burden of some EUR 11 million this year, which we haven't paid last year. When taking a look at other OpEx, you are seeing a positive development, so a material decrease in cost. Please be aware that this decrease is primarily driven by a reversal of a provision, which we recognized for a potential settlement of claims in Q4 2022. The revaluation of this provision led to a positive effect of around EUR 17 million, so reducing cost. In total, this led to the before mentioned positive EBITDA of around EUR 30 million for Q2. On Slide #15, I would like to conclude our segment reporting with our international activities. As with the Q1 numbers, you see in our revenue reporting that IFRIC 12 related revenues materially decreased by more than EUR 100 million, which shows that the construction in Lima is coming to an end. Adjusting for this effect and looking at the underlying revenues, the segment recorded a solid growth of 5% despite negative currency effects in the U.S., Lima and Brazil. The negative FX effects, however, were compensated by traffic growth and price increases. Within other income, you see that Q2 2024 was positively impacted by a EUR 9 million one-off item, a compensation payment in Porto Alegre, which also improved the EBITDA in 2024. So if adjusted for this, underlying EBITDA was some 4.5% higher compared to the previous year despite higher staff costs due to wages and higher staff numbers. Higher D&A, especially due to the terminal opening in Lima, led to an adjusted EBIT on the previous year level. On Slide 16, my last slide for today's presentation, I would like to reiterate our financial forecast for this year. We reconfirm our guidance and leave it unchanged compared to our full year and Q1 publication. This means that we expect passenger growth in Frankfurt but to remain below 64 million passengers. Moreover, we expect a moderate increase in our group EBITDA or more precisely an increase in the single-digit percentage area. We expect the net result to be flat to down this year, mainly due to extra gains in the context of the disposal of our shares in St. Petersburg last year. Here, we continue to monitor the noncash situation in Antalya. Regarding our leverage target, we continue to expect the net debt-to-EBITDA ratio to slightly improve due to the positive EBITDA development and stable net debt. For the time being, officially, no dividend payment for the 2025 financial year is planned to be distributed in '26. However, as Stefan Schulte already mentioned with the full year results, there will be some discussions around that point with the Supervisory Board later this year or early next year, depending on the financial performance, whether we are going to pay dividends for the year 2025. Having said this, I'd like to thank you for your attention. Have a nice day, speak to you later, and goodbye for now.